Operator: Thank you for standing by and welcome to the Capital Product Partners First Quarter 2014 Financial Results Conference Call. With us we have Mr. Ioannis Lazaridis, Chief Executive Officer and Chief Financial Officer of the Partnership. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions). I must advise you the call is being recorded today, Wednesday, April 30, 2014. The statements in today’s conference call, that are not historical facts, including our expectations regarding developments in the markets, our expected charter coverage ratio for 2013 and 2014 and expectations regarding, our quarterly distribution may be forward-looking statements, as such as defined in Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements involve risks and uncertainties that could cause the stated or forecasted results to be materially different from those anticipated. Unless required by law we expressly disclaim any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in our views or expectations to conform to actual results or otherwise. We assume no responsibility to the accuracy and completeness of the forward-looking statements. We make no prediction or statements about the performance of our common units. I would now like to turn the conference over to your speaker today, Mr. Lazaridis. Please go ahead, sir.
Ioannis Lazaridis: Thank you, Steve. And thank you all for participating today. With me is Jerry Kalogiratos Finance Director of Capital Maritime and Trading our sponsor. As a reminder we will be referring to the supporting slides available on our website. As we go through today’s presentation. On April 23, 2014 our Board of Directors declared a cash distribution of $0.2325 per common unit for the first quarter of 2014, in line with the management’s annual distribution guidance. The first quarter common unit cash distribution will be paid on May 15th, to unit holders of record on May 7th. The Partnership’s operating surplus for the quarter amounted to $31.2 million, which is $8.6 million higher than the $22.6 million in the first quarter of 2013. Common unit coverage for the first quarter stood at 1.3 times one of the highest on record. We are pleased to announce that the medium range product tanker, Ayrton, Assos and Atrotos have been fixed at attractive time charter rates. As a result, as at the end of the first quarter 2014, the average remaining charter duration of our charters stood at 8.7 years with approximate charter coverage of 88% for the remainder of 2014 and 55% for 2015. Turning to slide 2, revenues for the first quarter of 2014 were $47.4 million compared to $40 million in the first quarter of ‘13. The increase is mainly the result of the Partnership’s increased fleet size and improving employment day rate for certain of the Partnership’s vessels. Total expenses for the first quarter were $31.6 million compared to $28.9 million in the first quarter of ‘13. The increase is mainly a result of the increased fleet size of the Partnership. General and administrative expenses for the first quarter amounted to $1.3 million compared to $2.6 million in the first quarter of ‘13, the decrease resulting from the Partnership’s Omnibus Incentive Compensation Plan investing fully in the third quarter of ‘14. Total other expenses, net for the first quarter of 2014 amounted to $4.6 million compared to $3.5 million for the first quarter of last year; the increase due to the increased indebtedness of the Partnership compared to the first quarter of ‘13. The Partnership’s net income for the first quarter was $11.2 million or $0.08 per unit after taking into account the preferred interest and net income attributable to the Class B unitholders. Moving on to side 3, you can see the details of our operating surplus calculations that determine the distributions to our unitholders compared to the previous quarter. Operating surplus is a non-GAAP financial measure, which is defined fully in our press release. Adding certain non-cash items back to net income, we have generated approximately $31.2 million in cash from operations before accounting for the Class B preferred unit distribution. After adjusting for the Class B units distribution, the adjusted operating surplus amounted to $27.2 million, which translates into 1.3 times common unit coverage. On slide 4, you can see the details of our balance sheet. As of March 31, the Partners’ capital amounted to $767.7 million, which is $13.7 million lower than the Partners’ capital as of December 31, ‘13. This decrease primarily reflects the payment of $25 million in distributions since December 31. Overall, our balance sheet remains strong with the net debt to capitalization of 37.2% and with Partners’ capital representing 55.5% of our total assets. Turning to slide 5, we are pleased to have chartered motor tanker Ayrton for 18 months at $15,350 to Engen Petroleum, the South African oil company. Previously the vessel was employed under the time charter to BP at the gross rate of $15,000 a day. In addition, the motor tankers Assos and Atrotos were redelivered to us by Bluemarine Cargo as their respective bareboat charters with (inaudible) expired. Both vessels have been fixed to Capital Maritime & Trading for a period of 12 plus 12 months at $14,750 gross per day with the optional 12 months at $15,250 gross per day. Both charters are expected to commence during May 2014. All charters were unanimously approved by the Congress Committee of the Partnership. Turning to slide six, you can see our fleet profile. The Partnership suite is built in first year [yards] and at high specification and is comprised of 18 product tankers, seven post panamax container vessels, four Suezmax tankers and one Capesize bulk carrier and has more than doubled in size since our IPO in 2007. The average fleet age stands at 6 years compared to 9.6 years for the industry average. Turning to slide seven and taking into account the new charters for Ayrton, Assos and Atrotos. The average remaining charter duration is 8.7 years. We have five product tankers and three Suezmaxes but we’ll see the charters expire over the remainder of the year. We expect to take advantage of the attractive fundamentals of the product tanker sector, the increased activity in terms of period fixtures as well as the solid period rates to secure favorable employment for a number of these vessels. As you know, Capital Maritime & Trading, a sponsor is one of our more important charterer and as a courtesy has provided us with certain balance sheet information to help investors assess its financial profile. Capital Maritime is a private, profitable diversified shipping company that owns five tanker vessels of which three are VLCCs, one Suezmax and a [handy] product tanker and they are trading in the spot market. Capital Maritime has also a presence in drybulk and container markets through the ownership of two handy bulkers and two 1,700 TEU containers. The average age of its fleet is approximately five years. It boasts a very strong balance sheet with a low leverage. At the end of t 2013 total assets amounted to approximately $830 million and the total stockholders' equity stood at approximately 75% of the total assets. Its current debt, as a percent of the market value of its vessels is approximately 20%. Capital Maritime is in the midst of a substantial new building program with most deliveries expected in the coming two years. During 2015, it will take delivery of three latest eco-type design wide beam 9100-TEU container vessels at Hyundai Heavy Industries with increased refer capacity, high specification and optimized for slow-steaming. In addition Capital Maritime will take delivery of age high specification equal in MR product tankers during of period of ‘15 through to early ‘17 built by Samsung. Capital Maritime is also building three high specification eco-types [three offices] with deliver from 2014 to 2016. On operating side of vessels, main design has been enhanced with the number of operational excellence to give the vessels and their future charterers’ maximum trading flexibility. Turning to slide eight, we review the product tanker market development in the first quarter. Spot earnings for the first quarter declined compared to the previous quarter, dropping to the lowest level since the third quarter of 2012. The market in the U.S. Gulf experienced the biggest decline in rates as worst weather conditions limited chartering activity. In particular, we extend (inaudible) to start the prices of heating oil, cutting arbitrage economics and cause operational problems at regional refineries. Refinery maintenance in the region has eliminated the production in exports from U.S. Gulf reducing demand for product tankers. For 2014, analysts have revised upwards their expectations for product tanker demand growth and they expect growth of 4.7%. The product tanker period market experienced solid activity in the first quarter following record activity in 2013 while period rates remained at robust levels. We expect that in the medium to long run with product tanker time charter market we’ll further improve on the back of stronger oil demand, rising exports on the U.S. Gulf and favorable changes in the refinery landscape. On the supply side, net fleet growth for product tankers for 2014 is forecasted to come below demand growth at 3.9%. The MR order book seems to have stabilized observing the activity for product tankers declined slightly during the quarter, with most quality shipyards having now exhausted their capacity through 2016. Only 20 orders were placed during the quarter versus 62 new building orders on average per quarter in 2013. We believe that the current product tanker order book at approximately 19% of the total fleet in combination with strong demand fundamentals should positively affect the spot and period charter rates going forward. Turning to the slide nine, Suezmax spot earnings rose during the first quarter of 2014 to the highest level since the second quarter of 2010. Most of the gains were registered in the first half of the quarter due to strong Chinese crude oil demand, following local stock building, which resulted in increased long-haul exports from West Africa to the Far East. In addition, long delays in the Turkish straits further contributed to the upward pressure on rates. As the quarter progressed, rates retreated following slower Chinese demand, while reduced weather disruptions resulted in increased Suezmax tonnage availability. The Suezmax period charter rates, despite a small improvement in the quarter, as well as the number of period fixtures, remained at historically low levels and we expect that to recover going forward. Global demand for 2014 is expected to increase by 1.3 million barrels per day as the macroeconomic backdrop improves according to the IEA. Suezmax tanker deadweight demand is expected to grow by a solid 5.2% for the full year 2014, driven by increased crude shipments from the Atlantic basin to the Far East [major] charterers diversity their crude sources, while Suezmax’s continue increasing their market share on traditional Aframax routes on the back of economies of scale. On the supply side analysts expect 2014 net fleet growth of 1.5% to be below Suezmax demand growth. Finally given the market backdrop, very few new Suezmax orders have been placed over the few months, which should help improve the demand supply picture going forward. The total Suezmax order book now stands at 7.3%, the lowest in percentage terms since ‘96. In conclusion, we are very pleased to see the improved operating surplus of the partnership for the first quarter 2014, which is primarily the result of the steps we have taken during 2013 to grow the partnership by increasing our fleet size by a total of five container vessels, each with long-term period coverage. I would like to reiterate our commitment to the $0.93 per unit annual distribution guidance going forward and to the continued enhancement of our financial flexibility and distribution coverage. We believe that the improved distribution coverage, the better tanker market fundamentals, and potential growth opportunities provide a solid base for a potential upward revision of our annual distribution guidance in the future. And with that, I’m happy to answer any questions you may have.
Operator: Thank you very much. (Operator Instructions). First question we have today comes from the line of Jon Chappell from Evercore. Please ask your question.
Jon Chappell - Evercore: Thank you, good afternoon. Ioannis and maybe Jerry. As you think about the re-chartering of the vessels that come up later this year, just wondering as more and more new builds hit the market and have an impact on chartering activity, has the two tiered market kind of developed or you seeing a different rate profile for the 2006, 2007 build ships in your fleet as opposed to maybe 2014 delivery vessels?
Ioannis Lazaridis: (Inaudible) and I will answer the first part of the question and then I will pass over to Jerry, Jon. Certainly so far the rates that we have seen in the chartering activity, we have seen in the first quarter has been quite robust, certainly were coming from a very high level in terms of number or fixtures. And I think that we have seen a certain slowdown but overall the numbers of fixtures are 58 in the first quarter are close to record high, at the same time we have seen rates staying at the high level.
Jerry Kalogiratos: Hi, Jon. This is Jerry. With regard to the second part of the question and I guess as far as the differential between eco and standard MRs is concerned, I think there is a [tier] market in a sense that you will see the charterers will payout certain premium for eco ships with -- from the fixtures that we have seen is between $1,000 to $1,500 per ship. But we haven’t seen standard MRs, no-equal MRs being penalized. And we've actually seen that the number of the fixtures of the 58 fixtures have seen in the first quarter, they have been predominantly for normal MRs. So, I think that's a very live market right now.
Jon Chappell - Evercore: And in that regard then when you think about the strength of your balance sheet and hopefully recovering of the multiyear trough in the market and potential fleet renewal. Did new builds make more sense to you or do you think that maybe that market’s run a little bit too much and there is more value to be had in ships of similar age to those you have on the water today?
Ioannis Lazaridis: Jon, as you know the partnership does not order vessels, it is the sponsor that has ordered a number of product tankers. As I mentioned earlier, the sponsor has 8 new building orders with Samsung, with deliveries ‘15, ‘16. And these are at very high specifications [than the] market pricing. And we expect to subject to their accretion to be drop down to the partnership over the coming years.
Jon Chappell - Evercore: Okay. And then finally, honestly if you can just speak a little bit to the timing of the management transition and how that may or may not impact the operating strategy whether that's chartering or new vessel deliveries going forward?
Ioannis Lazaridis: I think as I mentioned to the press release that came out last week, I will continue as CEO and CFO until a successor is in place. And I do not expect the partnership or its operations to be affected at all by my transition.
Jon Chappell - Evercore: Okay. Thank you, Ioannis. Thanks Jerry.
Ioannis Lazaridis: Thank you.
Operator: Thank you very much. The next question we have today comes from the line of Taylor Mulherin from Deutsche Bank. Please ask your question.
Taylor Mulherin - Deutsche Bank: Good afternoon. I wanted to ask question about the prospective distribution increases at some point. It seems like you’ve got a few potential drop down opportunities for delivering around 2015 that could be a catalyst. But you’ve pointed to that sort of time period in the past as the time where distribution increase could occur. But my question is basically, do those two things necessarily need to be related to one another just based on your significant distribution coverage right now, kind of what’s the catalyst, what needs to happen?
Ioannis Lazaridis: I think that we have mentioned in the past and there is no change today that when it comes to distribution growth, the transactions that we have discussed that potentially can take place between Capital Maritime and Capital Products will certainly be fundamental to any potential distribution growth. So the way that we will structure that will determine a lot the future [path] distributions. But as we have said, we will communicate that separately at a given time in the future. When it comes to overall distribution growth obviously that depends also on the duration of the charters of the product tankers in Suezmaxes that we have. And we have said in the past that ideal we would like to have a bit longer product tanker, fixtures compared to the date, especially as the market continues to recover. So these things along with distribution coverage being in excess of 1.1 times will be necessary for us to increase our distribution growth in the way that the market will be sustainable.
Taylor Mulherin - Deutsche Bank: Sure. That makes sense. And then just as kind of stay in the growth opportunity side of things, clearly there is some opportunities in both MRs and containerships at Capital Maritime. And just wanted to ask about the crude sector for a second, the Suezmax market specifically seem to be showing some signs of improvement I wanted to get sense if you’re seeing opportunities there? And then also just wanted to sort of see what your thoughts were about moving kind of beyond the Suezmax market in the crude sector to either VLCC or Aframax?
Ioannis Lazaridis: The main criteria for us to added tonnage is the accretive nature of the transaction and if you look at what the rates are today among containers products and crude vessels you may find that the first two offer better accretive opportunities at this point.
Taylor Mulherin - Deutsche Bank: Sure. Okay. Thanks for your time.
Ioannis Lazaridis: Thank you.
Operator: Thank you very much. The next question we have today comes from the line of Ben Nolan from Stifel. Please ask your question.
Ben Nolan - Stifel: Yes, thanks guys. And first of all Ioannis, congratulations, best wishes for things going forward.
Ioannis Lazaridis: Thank you very much, Ben.
Ben Nolan - Stifel: Yes, sure. Getting back to the dropdowns and having gone over the new building list over Capital Maritime sponsor I did notice there at least one of the VLCC is scheduled for delivery in 2014, first of all would you consider that to be a dropdown candidate and then maybe along with that and certainly also some of the longer dated assets, but first of all, is there a long-term time charter on it? And then if not, would you maybe consider taking, would you guys maybe consider taking a dropdown of an asset be it VLCC or maybe next year in MR that would not have a long-term attached time period contract on?
Ioannis Lazaridis: I will start from the later part of the question. Certainly, we will like any acquisition we make to have a long-term charter attached. So that’s an important criterion in us deciding whether to acquire a vessel. And secondly, it has to be accretive and as I mentioned earlier if you look at the period market the (inaudible) decision the Swiss markets today that are quite low level. So it’s difficult to see today an accretive transaction.
Ben Nolan - Stifel: Okay, that's helpful. And then secondly and this gets a little bit more into 2015 and looking at a containership fleet, I was curious what the employment is on those assets? Are they already, the vessels that have been order are they all fixed on long-term time charters or there a portion of them fixed, I guess the question is are there any pre may drop down candidates that already have employment?
Ioannis Lazaridis: We have said they mentioned in the previous question that we will communicate the drop down strategy separately, when it comes to the containers and amounts. And we expect to do that in the near future. But at this point, I would prefer to refer to a later point when we will be able to give you much more information on that.
Ben Nolan - Stifel: Okay, that’s fine. Well that’s does it for me. Thanks for the time and again best wishes.
Ioannis Lazaridis: Thank you very much, Ben.
Operator: Thank you. Your next question today comes from the line of (inaudible) from Wells Fargo. Please ask your question.
Ioannis Lazaridis: Hello.
Operator: Hello, (inaudible) your line is open. Are you on mute?
Unidentified Analyst: Hey, guys, good afternoon.
Ioannis Lazaridis: Hi, (inaudible).
Unidentified Analyst: Hi, I am actually (inaudible) thanks for taking my question. I guess mine more underlying the potential distribution growth as well, I mean as you look at the fleet at Capital Maritime which we talked about earlier in the call is pretty substantial the amount of dropdowns over there. So as you think about potential distribution growth, can you just give me all your thoughts on the timing of that?
Ioannis Lazaridis: So the timings certainly we cannot talk to you about now, but I mention to you certainly that the ingredients remain factor of influence, the drop down story as well as any potential distribution growth will depend on the accretion, will depend on the periods fixtures that we’ll achieve for our vessel that are operating up and ideally we will be able to fix them up higher for longer, and the distribution coverage we will have at a time. So these will be the factors against which we will judge the timing and the magnitude of the any distribution growth, but as we said we would like to combine that in a way that we will show the market that any distribution increases the first step of many.
Unidentified Analyst: Got it, that’s helpful. And diving little deeper into the potential drop downs, I know you didn’t want to talk too much about it at this time, but just in terms of historical information I mean you guys acquired three containerships in Capital Maritime for about $195 million in September of last year, which was financed by both secured credit facility and equity issuance as we kind of think about the potential accretion of the assets currently at Capital Maritime, how should we think about the potential there kind of equity and debt financing as we think about kind of how creative this asset could be to the company?
Ioannis Lazaridis: The vessels that we acquired last year were at 5,000 TEU vessels and the vessels will now that Capital Maritime is building new 9100 TEU vessels, so certainly bigger. And as we said before, we have a credit facility in place to finance up to 50% of the value of the assets that we will acquire. So I guess the vessels did come from (inaudible).
Unidentified Analyst: Okay, that's all I had in mind. Thanks for taking my questions.
Ioannis Lazaridis: Thank you (inaudible).
Operator: Thank you very much. The next question today coming from the line of Matthew Phillips from Clarkson. Please ask your question.
Matthew Phillips - Clarkson: Good afternoon Ioannis and Jerry.
Ioannis Lazaridis: Hello.
Matthew Phillips - Clarkson: General question about the container market, it's one of the last ones are really still be stuck kind of in the door drums from the downturn. Are you still seeing some second hand opportunities out there? And would you expect to act on any of those or do you think the new building runway you have from the sponsors is sufficient for the time being?
Jerry Kalogiratos: Hi, this is Jerry. We have been focusing mainly on the Post Panamax segment over the last few years, as you have seen both from the drop downs as well as the orders that we have placed. And to the level of Capital Maritime, this is all the backlog of certain attractive industry fundamental that we see for Post Panamax eco-vessels as well as the discussions we have had with charterers. So that has been our main focus and less the second hand market.
Matthew Phillips - Clarkson: Okay, thanks. Regarding the new buildings that the newer set at the 9400 TEU ships. You had mentioned before you are not related to delineate the drop down strategy. But do these ships have charters attached, I mean would they be candidates at all for drop downs at this time?
Ioannis Lazaridis: They meant 9100 vessels certainly will be candidates and we will discuss those as I mentioned at a given time in the future along with the charters and (inaudible).
Matthew Phillips - Clarkson: Did you say the 9400 or the 9100?
Ioannis Lazaridis: There is no 9400, there are 9100s.
Matthew Phillips - Clarkson: Okay. All right thank you.
Ioannis Lazaridis: Thanks.
Operator: Thank you very much. (Operator Instructions). The next question we have today comes from the line of Shawn Collins with Bank of America. Please ask your question.
Shawn Collins - Bank of America: Hi Ioannis, good afternoon. How are you guys?
Ioannis Lazaridis: I am fine, how are you Sean?
Shawn Collins - Bank of America: Very well. Thank you. Ioannis turning to the order book, can you comment on what you think is driving that large percentage of slippage 35% for product tankers 54% for Suezmax and what do you think is driving those rates of pushing those out so much?
Jerry Kalogiratos: Hi Sean, this is Jerry. On the [MI] side slippage has been substantial over the last few years of course now that we have seen certain new orders in place, it has been reduced closer to 50%, 55%, but usually the reasons behind slippage, it’s what we term constellations or non-deliveries have eager to do with owners and not being able to financer acquisition either on the equity or the debt side, and this has been a major factor in the past especially as credit was more scars. We have seen certain seat yachts failings, that is couple of yachts in China as well as one in Korea, as well as in certain cases we have the owners choosing to convert for one type of vessel for another given the industry fundamentals. As product tanker marketing fundamentals improve, you will see less [slippage], while on the Suezmax segment as the market has been at historical lows now for a couple of years. We have seen slippage increase as we have had both owners walking away from orders that were placed at very high levels or simply because we had a couple of sizeable yards in China are failing altogether and owners being able to cancel these orders and get a refund. So, it’s a rationalization of the order book if you want that results in the slippage that you see in respective order books.
Shawn Collins - Bank of America: That’s great. That’s helpful. Thank you, Jerry. And second question, on the product tanker side, I know in the first quarter we had a lot of maintenance being done at refineries and that slowed down trade. Can you comment on where you think the process is on maintenance for refineries in the U.S.?
Jerry Kalogiratos: Well, we do not certainly refinery maintenance and output on a monthly level. I think the reason behind the softness as you might have seen in the spot market has lot to do with arbitrage economy is not working due to the cold weather unless necessarily with refinery maintenance and outages which are fairly seasonal.
Shawn Collins - Bank of America: Okay. That's helpful. Great, well thank you for the insight and I will turn it over. Thanks guys.
Ioannis Lazaridis: Thank you.
Operator: Thank you very much. There are no further questions at this stage. Please continue.
Ioannis Lazaridis: If there are no other questions, thank you everybody for finding the time to participate in our call. Thank you.
Operator: Thank you very much. That does conclude the conference for today. Thank you for participating. You may all disconnect.
Ioannis Lazaridis: Bye, bye